Operator: Good afternoon. My name is Howard and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Fourth Quarter 2018 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. [Operator Instruction] As a reminder, ladies and gentlemen, this call is being recorded today, February 5. I would now like to introduce Eddie Capel, CEO, and Dennis Story, CFO of Manhattan Associates. Mr. Story, you may begin your conference.
Dennis Story: Thank you, Howard, and good afternoon, everyone. Welcome to Manhattan Associates 2018 fourth quarter earnings call. I will review our cautionary language and then turn the call over to Eddie Capel, our CEO. During this call, including the question-and-answer session, we may make forward-looking statements regarding future events or the future financial performance of Manhattan Associates. You are cautioned that these forward-looking statements involve risks and uncertainties, are not guarantees of future performance, and that actual results may differ materially from the projections contained in our forward-looking statements. I refer you to the reports Manhattan Associates files with the SEC for important factors that could cause actual results to differ materially from those in our projections, particularly our annual report on Form 10-K for fiscal 2017 and the risk factor discussion in that report. We are under no obligation to update these statements. And as an FYI, we do plan to file our 2018 10-K within the next week. In addition, our comments include certain non-GAAP financial measures in an effort to provide additional information to investors. All non-GAAP measures have been reconciled to the related GAAP measures in accordance with SEC rules. You will find reconciliation schedules in the Form 8-K we submitted to the SEC earlier today and on our website at manh.com. Now, I’ll turn the call over to Eddie.
Eddie Capel: Well, good afternoon, everybody. And thank you for joining us to review Manhattan Associates 2018 fourth-quarter results. We delivered record Q4 total revenue of $144 million – that's applying ASC 606 retrospectively – and $0.46 of adjusted EPS. In Q4 2018, our total revenue grew 6% and EPS was up 2% versus prior year. We saw solid revenue results across all revenue lines, exceeding our Q4 revenue targets on improving services demand. Our operating margin was higher than expected due to the timing of certain business investments as we continue our business transition to the cloud, but we certainly exited 2018 stronger than we entered the year. And we’re slightly ahead of our timetable for returning to sustainable long-term growth. While we do remain prudently cautious given global macro volatility, we’re very bullish on our outlook for 2019. And we're raising our 2019 full-year total revenue, operating margin and earnings per share guidance. And as discussed in our Q3 2018 call, we’re still early in our transition to cloud, with aggressive transformative goals and investments earmarked for driving our customer success and, in turn, our long-term future growth and earnings. We continue to be very encouraged by our transition to cloud and our positive business momentum, highlighted specifically by the following four areas. Firstly, market-leading product innovation. In 2018, our R&D investment was up over 24% against prior year. And with that, we invested $68 million in research and development and we’re delivering industry-leading transformative supply chain, inventory and omni-channel commerce innovation. Our development cycles are faster than ever and our product and technology releases are bringing important differentiated new solutions to the market, resulting in very encouraging pipeline growth. Which brings me to the second pillar, strengthening pipelines. Our global pipelines is solid and we’re seeing upward trends across cloud and services. License pipeline activity is solid also, although we do expect license revenues to continue to decline year-over-year as an increased number of our customers select our cloud offerings. And we continue to be encouraged by new customer signing and by the concentration of potential new customers in the pipeline, with about half of our deal opportunities represented by net new logos. Thirdly, improving consulting services. Global demand continues to strengthen for new product sales and system upgrade activities and, as a result, our services teams are operating at near capacity. Our Q4 2018 global consulting services revenue was up 10% year-over-year, albeit against a fairly weak comparison. And with services representing about 60% of total revenue, strengthening demand in the Americas help us balance fluctuations in license and cloud results during the early stages of our business transition. And since our last call, we've onboarded about 75 global services consultants and are actively recruiting for another 75 to 100 across all geographies. And then, lastly, investments in sales and marketing. Our competitive win rates continue to be strong at 70% against our head-to-head competition, with about 40% of licensing cloud sales coming from new customers. Verticals driving more than 50% of our license and cloud revenues in the quarter were retail, consumer goods and food and beverage. Now, sales and marketing investments were up 9% in 2018 as we continue to focus on driving market awareness and expansion of our sales and account management coverage. That's predominantly in the Americas and Europe. And we’re aggressively recruiting about 20 new hires across our sales and marketing teams and we finished the quarter with 65 people in sales and sales management, with 58 quota-carrying reps. All these four are great positive markers for growth. Now, in Q4 2018, we delivered $20 million in combined cloud plus license revenue, up about 12% over a solid Q4 2017 comp. And our Q4 2018 performance marks our first quarter of year-over-year combined total software growth. Full-year cloud revenue recognized in 2018 totaled $23 million, exceeding our $20 million goal and growing 141% over 2017. And we continue to be very busy with cloud implementations of Manhattan Active Omni, but we’re also seeing growing interest in our transportation management cloud offering. In Q4, we recognized $6.8 million in cloud revenue. That's a 113% growth over Q4 2017. And Manhattan Active Omni drove a little more than 70% of our cloud bookings this quarter, with the Americas delivering about 85% of the deal activity. And we continue to experience early interest in subscription models for our other traditional supply chain management solutions, such as Manhattan active scale and Manhattan active inventory. And while in the near-term, early adopters will impact our license results, we view this as a positive for our long-term subscription revenue growth. Turning to license, we had our best 2018 license revenue quarter in Q4, recognizing $13.3 million in total revenue, from deals that included three $1 million plus transactions. One closed in the Americas and two in EMEA. Two of the three deals were in retail and the other in automotive. All three deals were with large tier one customers. One existing and two new. And while deal activity is healthy, license performance continues to be impacted by timing, primarily related to the retail reconstitution and by customers and prospects weighing more flexible purchase options with WMS and our other supply chain management solutions. Now, I will turn to a quick update on our products and on notable product deployment activities. Q4 marked milestones across our entire product portfolio and I'm happy to provide updates across our omnichannel, supply chain and inventory solutions. So, starting with omnichannel, I'm thrilled to report that our Manhattan Active Omni solution that includes contact center, order management and store inventory fulfillment applications and a single cloud-native application came through the holiday season in terrific fashion. A number of large global consumer brands and domestic retailers rely on Manhattan Active Omni to handle the peaks and valleys of shopping activity and order placement through their holiday season. And our cloud-native, versionless, fully extensible applications auto scale themselves perfectly to keep pace with even the highest order placement hours on Black Friday and Cyber Monday. Now, on the sales front for Manhattan Active Omni, we continue to execute with a very strong wind rate against our primary competitors. And the OMS landscape for omnichannel merchants continues to produce a steady demand for our solutions as the evolving requirements of today's digital shopper puts increasing pressure on speed of innovation for our OMS vendors. And only those providers with exceptional domain expertise and the ability and willingness to invest in innovation can hope to keep up. And, frankly, we’re fortunate to be well-qualified on both fronts. Now, speaking of innovation, we debuted a couple of significant innovations within Manhattan Active Omni at this year’s National Retail Federation BIG Show in New York. And as I've noted in prior calls, one of our investment commitments is focused on helping our customers deliver world-class customer service experiences. And industry data clearly shows that the post purchase service experiences is really pivotal to creating customer loyalty and brand advocacy. And to that end, we introduced a digital self-service capability right within our order management system, which allows end consumers to play a more active role during the lifecycle of their order, from tracking shipments to initiating, managing returns to directing a pickup in-store experience, digital self-service puts the consumer in control and provides a level of influence and control that few retailers offer today. And as we continue our commitment to providing the technology powering this market, it is best customers’ experience. This quarter, we also introduced critical new capabilities within store systems and in the realm of Manhattan Active Omni. Specifically, we brought the new customer engagement management capabilities right into the retail store, by embedding them within our point-of-sale application. In addition, to the omnichannel selling and fulfillment capability store associates, also now have the ability to see a much richer view of the customer they're serving, including our purchase history across all channels, lifetime value, case history and all of her interactions with the brand across social media, email, phone and all other modes of communication. Furthermore, the store associate now has the ability to construct personalized looks for individual customers and communicate those looks prior to and during her time in the store. Our investments here are another example of our commitment to providing the market’s best, most comprehensive technology platform to delivering world-class customer experiences across all channels. Now, regarding our inventory applications, in Q4, we signed up additional customers for our Manhattan active inventory offering. And as a reminder, Manhattan active inventory is our cloud-based offering of sales and operations planning, demand forecasting and inventory optimization. Our new customers in Q4 for this solution were primarily in the foodservice industry and our pipeline of opportunities around Manhattan active inventory continues to grow and we’re confident we have the right solution and the right value proposition as prospective customers increasingly think cloud first for the next generation of solutions for optimizing their inventory investment. Now, finally, on the product front, I’ll provide a quick update on our supply-chain offerings and particularly warehouse management. I've spoken before about order streaming, the revolutionary machine learning-driven reinvention of how [indiscernible] activities occur in the distribution center. Well, I'm happy to tell you today that a major omnichannel apparel retailer here in the US is seeing phenomenal early results after activating order streaming, in particular they're achieving significant operational efficiencies and material reductions in click to ship times. And we believe that every significant direct-to-consumer shipper will need order streaming capabilities in order to succeed in the digital arena. So, that covers the business update. Dennis, why don't you provide the financial updates and our 2019 full-year guidance and I'll close our prepared remarks with a brief summary.
Dennis Story : Great. Thanks, Eddie. As Eddie mentioned, we reported Q4 total revenue of $144 million and $0.46 in adjusted earnings per share. Our Q4 EPS performance includes $0.02 of incremental impact on our year-end true-up of estimated taxes in response to tax reform.  Overall, with our business and early-stage cloud transition, we exceeded our 2018 targeted total revenue and were above our earnings objectives based on the timing of investments. Our GAAP earnings per share was $0.40 in the quarter compared to $0.36 in Q4 2017, with the difference between the adjusted earnings per share and GAAP EPS being the impact of stock-based compensation. So, license revenue was $13.3 million, achieving the upper end of the $11.5 million to $13.5 million target range we discussed in our Q3 call. For Q1 2019, we are targeting $9 million in license revenue recognized. In full-year 2019, we are estimating $36 million to $40 million in license revenue. We expect full-year license gross margin to be about 89%. Q4 cloud revenue was $6.8 million, up 113% over Q4 2017. Full year, we recognized $23.1 million in cloud revenue, up 141% over 2017. For Q1 2019, we estimate our recognizable cloud revenue will be about $7.5 million, up about 68% over prior year. And for 2019, we are targeting the opposite of license with a revenue-recognized range of $40 million to $36 million and cloud revenue representing 73% to 56% growth over 2018. Our 2019 full-year estimate for total combined license and cloud revenue recognized is $76 million, up 11% over 2018, reflecting the current interplay of the supply chain market preference for, and transition to, the cloud. For a directional indicator on bookings, I want to point you to our remaining performance obligation disclosure, which I’ll refer to as RPO found in our significant accounting policies revenue section of our 10-Qs and annual 10-K. We've also included our 2018 RPO results by quarter in today's earnings release. In short, RPO is the leading indicator of cloud bookings for Manhattan Associates. As part of ASC 606, RPO disclosure is required by all US publicly-traded companies.  Remaining performance obligation represents the value of contractual obligations required to be performed – otherwise referred to as unearned revenue or bookings.  For Manhattan, 95-plus-percent of this disclosed value represents our cloud bookings value of unearned revenue under noncancelable contracts greater than one year. Contracts with a noncancelable term of one year or less are excluded from the reported amount. So, exiting 2017, our remaining performance obligation totaled $27.5 million. At December 31, 2018, our RPO was $77 million, representing a 180% increase over 2017. Going forward, we will report RPO in our 10-Qs and 10-K and our earnings release supplemental schedules. Last point on licensing cloud, our performance continues to depend on the number and relative value of large deals we closed in any quarter. While large license deals remain important, we expect the mix to continue to shift toward subscription models in 2019 and beyond. While this is positive, deal sizes may be a bit smaller as subscription revenue is recognized over time and product components are also easier to add over time in contrast to the won and done enterprise deals. We also retained some caution around slowed decision-making by some clients and prospects, particularly retailers and potential global macro and geopolitical events that could impact business investment cycles. Now, shifting to maintenance, revenue for the quarter totaled $36 million, down about 2% over Q4 2017 on the timing of cash collections. Our strong retention rates continue at greater than 90-plus-percent. As a reminder, our maintenance renewal contracts become effective once we have collected cash from the customer, so timing of cash collections can cause inter-period lumpiness from quarter to quarter. For 2019, we are estimating maintenance revenue – full-year maintenance revenue to be about $145 million to $146 million, down about 1% over 2018, impacted by our cloud transition. We estimate Q1 2019 maintenance revenue to range between $35 million and $36 million, with a midpoint of $35.5 million, down about 2.5%. Q1 and full-year results will depend somewhat on the timing of perpetual license deals closed during the year as will the level and timing of any existing customer conversions to cloud and the resulting retention rates and timing of cash collection. So, turning to services, consulting revenue for the quarter totaled $84.5 million, up 10% over Q4 2017, on improving demand in the Americas and solid growth in Europe.  With services demand and pipeline increasing, we are estimating full-year 2019 consulting services revenue growth of flat to up 3% compared to prior year, with an estimated midpoint value of about $335 million. Against a weak 2018 comp, we're targeting Q1 revenue growth of 4% to 5% with a midpoint target of $82.2 million. We do expect second-half 2019 year-over-year growth comps to be tighter reflecting America's improving demand in 2018 second half. Our consolidated subscription maintenance and service margins for the quarter were 52.6%, driven on increased headcount investment and cloud and consulting services in our business. For 2019, we expect full-year services margins to be about 52.4% and our Q1 range to be 51.5% to 52%. Our 2019 services gross margin reflects our investment in cloud operations, annual compensation increases and increased capacity to meet demand. Turning to operating income and margins, our Q4 operating income totaled $39.7 million with an operating margin of 27.5%. Our full-year operating margin was 27.6%, about 250 basis points higher than expected due to timing of business investment. For 2019 full year, we are targeting operating income in the range of $118 million to $122 million with a midpoint of $120 million and operating margins in the 21% to 21.2% range. That's fairly calibrated, I think. For Q1 2019, we are estimating operating income of $28.5 million to $29.7 million, with a $29.1 million midpoint and operating margin in the 21% to 21.4% range, with a midpoint of 21.2%. Our sequential decline in margin from Q4 2018 is driven by our license forecast for Q1 2019, combined with continued growth investments across our business and people and facilities, including R&D, sales and marketing, cloud ops, consulting services and annual compensation increases and FICA taxes reset in the US operations. So, that covers the operating results. Our Q4 adjusted effective income tax rate was 21.8%, resulting in a full-year 2018 tax rate of 23.8%. For 2019, we are estimating a 24.5% effective tax rate. Regarding capital structure, we invested $25 million in Q4 share buybacks. For the year, we invested $143 million, reducing our common and fully diluted shares 4% over 2017.  Last week, our board approved replenishing our repurchase authority limit to a total of $50 million for 2019. And we are estimating about 65.6 million diluted shares per quarter and full year, which assumes no buyback activity. Turning to cash, we closed the quarter with cash and investments totaling $101 million and zero debt. Our current deferred revenue balance totaled $82 million, up 9% over December 31, 2017, driven primarily by maintenance and cloud billings. Full-year cash flow from operations totaled $137 million compared to $164 million in 2017, down due to cloud transition and lower license revenue. For the quarter, cash flow from operations totaled $34 million. Capital expenditures for the year totaled $7.3 million. And for 2019, with incremental investments in facilities assumed in both India and the US, we estimate capital expenditures to be approximately $15 million for the year. So, I'll wrap up with our 2019 guidance and then turn it back to Eddie for some closing comments. So, we will continue to provide annual guidance on total revenue, operating margin and earnings per share. As we previously stated, the more short-term success we have with subscription adoption, the weaker our near-term reported income statement results will be, effectively masking a significant level of underlying value creation. So, for revenue, our 2019 total revenue guidance is $564 million to $576 million, with a midpoint estimate of $570 million.  For earnings per share, our 2019 adjusted EPS range is $1.38 to $1.42, with a midpoint estimate of about a $1.40. Our GAAP EPS guidance is $1.03 to $1.07. Operating margins, we are targeting a full-year adjusted operating margin of 21% to 21.2% and GAAP operating margin range of 15.5% to 16%.  Our margin objectives reflect our business transition to cloud continuing to ramp in 2019, including related incremental growth investments. And finally, we remain committed to the long-term aspirations we discussed in our Q4 call. Our focus is on building the subscription base at a responsible rate that returns us to our expected and sustainable topline growth, with an operating margin profile in the top quartile compared to our peers. With that said, our long-term aspirations are as follows beyond 2018, which are the same that I've repeated on previous calls. We are targeting a return to revenue growth by late 2019, early 2020. I think we’re a little bit ahead of schedule there. From the midpoint of our 2018 total revenue guidance, we are targeting a 4% to 6% CAGR through 2022. From the midpoint of the 2018 cloud revenue guidance, we’re targeting 72% to 82% CAGR through 2022. On recurring revenue, 42% to 47% recurring revenue mix by 2022. By 2022, we project all-in gross margin to be in the range of 58% to 60%. Our operating margin to be in the range of 25% to 26%. And our free cash flow to net income ratio for 2019 forward, we expect to continue to trend with our historical comps, in line at about a ratio of 1.1 to 1.2 to net income. When we clear 2019, we will recalibrate our growth assumptions based on our successes in 2019. Thank you. That covers the financial update and I'll turn the call back to Eddie for some closing comments.
Eddie Capel: All right. Thanks, Dennis. Well, in summary, clearly, our underlying business fundamentals continue to gain momentum and we remain focused on extending our market-leading position in supply chain and omni-channel commerce. Entering 2019, we’re confident in the significant and expanded business opportunity in our core supply chain management market. Our success clearly continues to be driven by delivering innovation that anticipates the needs of an evolving market, focusing on our customer successes and leveraging our deep domain expertise. While some global and retail macroeconomic conditions give us reason to be cautious, we’re very bullish on the market opportunity ahead of us. Supply chain complexity and retail evolution in our target market, in fact, brings continued need for our solutions among our customers and is going to continue to fuel multiyear investment cycles for us at Manhattan Associates. The move to subscription and cloud-based models is positive and is outpacing our current expectations. Our customer feedback and win rates continue to validate our investment strategy. Our competitive position is strong. We continue to invest in innovation to extend our addressable market, market leadership and differentiation. and as always, we remain focused on our customer success in driving sustainable long-term growth for our shareholders. With the world's most talented supply-chain employees, the best software solutions and market dynamics that require customers to adapt and invest in supply chain innovation, we believe that we are very well positioned for both 2019 and well beyond. So, with that, Howard, we would be happy to take any questions.
Operator: [Operator Instructions]. Our first question or comment comes from the line of Eric Lemus from SunTrust Robinson. Your line is open.
Eric Lemus: Guys, nice job on the quarter. I have a question on Active Omni in particular, can you guys talk a little bit about where you are in terms of the referenceability of the product? And how adept is the sales force at selling the product at this point? And then lastly, any sort of differences with Active Omni in 2019 versus 2018 and how you go-to-market?
Eddie Capel: Yeah. Let's see. So, couple of questions embedded in there. Eric, I would say that the referenceability for Manhattan Active Omni is very good. As I pointed out, it came through retail peak season, frankly, really its first retail peak season, with flying colors. So, we feel very good about that and the associated referenceability. In terms of our sales force's ability to be able to sell Manhattan Active Omni, we've got pretty good win rates frankly – 70% against our major competitors. Overall, we've got about a decade under our belt of selling these solutions. And remember, about 40% of our wins this quarter came from new logos as well. So that, along with really the same metric for the full year, gives us a great deal of confidence in our ability to be able to position the solution and, frankly, sell its value into the marketplace. So, I guess, for some reason, we feel pretty good about the referenceability and very good about our position.
Eric Lemus: Okay, great. And then, a question for you, Dennis. Good to hear the positive trends for guidance for 2019. But, specifically, when we’re looking at maintenance, you said down 1% for the year. Is that fairly linear throughout the year? And then, when we think about if there is some upside with the cloud transition better than expected, what's the relationship there and how maintenance would be declining if it's increasing in the cloud revenues?
Dennis Story: It's fairly linear throughout the year, Eric. And I'm not quite sure I understand the second part of that question.
Eric Lemus: Yeah. I'm just looking at – with the transition from license to cloud more based in the cloud and how that – the relationship between maintenance and the cloud transition, should we continue to see that maintenance revenue go down year-over-year or not at all?
Dennis Story: Yeah. But it's not going to accelerate. We don't expect it to accelerate, but as we start to begin to convert existing customers on to cloud, you'll see it begin to trend down over time.
Eric Lemus: Got it. And then just one clarifying question for you again, Dennis. When you talk about the long-term aspirations, are you basing those growth rates in the revenue mix based on what you delivered in 2018 or based on the midpoints for 2019?
Dennis Story: The midpoint for 2018, we’ll recalibrate after we get through this year – this year's results, using the 2019 actual results once we close out the year.
Eric Lemus: Sorry. So, you mean the 2018 reported results?
Dennis Story: Yeah. Yes, we'll basically leverage – we'll eliminate the 2018. And once we complete 2019, we’ll begin to project out with actual 2019 results.
Eric Lemus: Got it. Great. Appreciate it. Nice job, guys.
Eddie Capel: Okay. Thanks, Eric. See you.
Operator: Thank you. Our next question or comment comes from the line of Monika Garg from KeyBanc. Your line is open.
Monika Garg: Hi. Thanks for taking my question. The first question is, I think the last quarter you guided for cloud revenue for 2019. You had guided somewhere about $40 million. But looks like you're guiding $36 million to $40 million. Given the strong momentum you talked about in the cloud, I guess, I'm just a little – any color like why would the guidance be slightly lower?
Eddie Capel: We're being conservative just because customers are evaluating, Monika, the interplay dynamics between license and cloud. So, as I talked about in the commentary, is from a cloud perspective, we would – we are targeting $40 million to $36 million, right? And on the license side, $36 million to $40 million. And we're just kind of balancing the interplay there in terms of customer choice and if they decide to go cloud versus license.
Monika Garg: Got it. And then, generally, you give us the warehouse license revenue on the yearly basis. So, what was the WMS license revenue for 2018?
Dennis Story: Well, if you look at license revenue for 2018, it's predominantly WMS. It's probably ballpark 85% of the license revenue recognized in 2018 would be WMS.
Eddie Capel: Because you’ll remember, Monika, in mid-2017, we released Manhattan Active Omni, which is a cloud-only solution. So, as a consequence of that, there is no on-prem order management solutions anymore.
Monika Garg: Makes sense. And then, did you – for the WMS, did you have any revenue for WMS in the cloud for 2018 and how are you thinking about WMS cloud on 2019 in your guidance?
Dennis Story: We did for our WMS scale solution, which is more of a tier two, tier three solution as we wader into the supply chain execution space, but not material overall.
Monika Garg: Okay. And the color on 2019?
Dennis Story: We're not giving any color on by product on 2019.
Monika Garg: Okay. Last one on the cash flow. Could you maybe add a color, like, if you look at cash flow from operations for 2018, it is down almost $30 million year-over-year. Maybe just could you add some color on that. And also, could you provide the free cash flow guidance for 2019? Thank you.
Dennis Story: Yeah. We don't give free cash flow guidance. As I said, we target a ratio of about 1.1 to 1.2 of our net income. And then, the cash flow is down over – for 2018 is down, really driven by two objectives. One is the transition to cloud, Monika, and that shift; the impact of lower license revenue; and then substantial growth investments in the business.
Monika Garg: Got it. Thank you so much.
Eddie Capel: Okay. Thank you. Monica
Operator: Thank you. Our next question or comment comes from the line of Brian Peterson from Raymond James. Your line is open.
Brian Peterson: Hi, guys. Congrats on the quarter and thanks for taking the question. So, really just want to understand what drove the upside in services this quarter. That was much better than what I was expecting. We typically don't see it up sequentially. So, are there any one or two factors that you could call out that drove the acceleration this quarter and how sustainable are those factors as we head into 2019?
Eddie Capel: No one or two particular things, Brian. We saw strength in the Americas, a good deal of strength in Europe, and APAC wasn't slouching around either. But, really, the demand is sort of across the board. I would say, we've seen a little bit of a kind of an uptick in system upgrades, system rollouts and so forth. Some of the things that we saw have a bit of a slower pace in 2017, maybe even early 2018. But that and some pretty good success with Manhattan Active Omni on the sales side, driving new services revenue, all go into the mix there to provide some solid growth. And it feels pretty solid, going into 2019 too. The momentum is pretty good. We came off of NRF and so forth where the tone at the retail conference was just a little more buoyant than it had been for the last couple of three or four years. That was certainly our perspective as well. And as a result of that, we're certainly in hiring mode for our consulting practice.
Brian Peterson: Got it. And if I wanted to dive into a narrative on this call and on the last call as well, it's been on the pipeline being 50% from net new logos. Is there any way to segment how much of that is maybe new end markets outside of your traditional customers or how much of that is different tiers or different types of customers within more of your traditional end markets?
Eddie Capel: Yeah. Really, it's across the board, Brian. It’s new verticals, frankly, particularly as you see manufactured and branded folks sort of get into the direct-to-consumer business. We've seen, frankly, some interesting new geographic regions kind of open up for us as well. But at the end of the day, it really is the tier one global brands that got us kind of excited about the pipeline.
Brian Peterson: Got it. And maybe one for you, Dennis. And I appreciate all the color on 2019. But I think you mentioned previously that you expect margins to trough in late 2019 or early 2020. Just curious if that's still the case? Thanks, guys.
Dennis Story: Yes, that's still the case, Brian.
Eddie Capel: Yeah. Around about the end of the year.
Dennis Story: Yeah. The objective here is we're aggressively investing to really get back to driving long-term sustainable topline growth.
Eddie Capel: Thanks, Brian.
Brian Peterson: Thank you, guys.
Operator: Thank you. Our next question or comment comes from the line of Matt Pfau from William Blair. Your line is open.
Eddie Capel: Matt?
Matthew Pfau: Hi, guys. Thanks for taking my question. Question, Dennis, on the remaining performance obligations metric that you've given out. So, it doesn't include contracts that are one year or less. But is that a material portion of the cloud contracts? And then, I guess, just overall, is there a big variation in the duration of the cloud contracts? And I know you mentioned previously that you're going to see maybe a shift from a three to a five-year contract. So, just trying to figure out how those factors play into this metric?
Eddie Capel: Yes. So, less than one year is not a material portion at all with respect to cloud. And I would say the weighting is moving more towards the longer-term deals, Matt.
Matthew Pfau: Got it. Great. And then, I wanted to hit on the services revenue growth expectation for 2019 of flat to top 3%. So, I think you talked about this in a prior question, but there's probably some pent-up demand from retailers delaying upgrades and such over the past two years. So, how much of that sort of plays into this growth for 2019? And, I guess, how much of it is just more of like the normalized activity that you would expect to see? And, I guess, what I'm trying to get at from a longer-term perspective is, as we continue to go through this cloud transition, how should we think about that impact on the professional services revenue line? And is 2019 kind of a good baseline or are there some sort of one-off things going on there that don't make it a good indicator perhaps going forward?
Eddie Capel: I don't think there was any particular one-off things in there, Matt. Look, it's a little hard to project services revenue line out couple of, three years on a year-over-year basis at a detailed level. But there is nothing particularly cyclic going on in 2019. I think we are seeing the – call it, the purse strings open up, just a little bit. Some of the folks that have been postponing those upgrades, those roll-outs and so forth, saw some good momentum in Q4 and the retail peak season came in strong and they want to make the most of the market gains and market share that is out there and available to them, but there's nothing particularly untoward going on. So, we're definitely encouraged by the demand that we're seeing. I think, look, at the end of the day, the key for us is to keep innovating, right? If we keep innovating and delivering things like order streaming, warehouse execution system built into WMS, and all of those kinds of things, we'll see that services business stay robust.
Dennis Story: Yeah. So, Matt, just to piggyback on what Eddie is saying, the services are firing on. Our cloud successes and implementations there, they're very busy there. The license successes that we've had this year, even though it's been a challenging year with license, and then to Eddie's point, we're seeing return on investment from the innovation on the WMS side, particularly related to order streaming.
Matthew Pfau: Great. Thanks a lot, guys. That's it for me.
Eddie Capel: All right. Thanks, Matt. Well, listen, you sound a bit under the weather, to say the least. So, appreciate you taking the time and toughening it out to join us on the call. See you.
Operator: Thank you. Our next question or comment comes from the line of Mark Schappel from Benchmark. Your line is open.
Mark Schappel: Hi, guys. Good evening. Nice job on the quarter.
Eddie Capel: Thank you.
Mark Schappel: Just a couple of questions. Eddie, on the hiring front, the company has some very aggressive plans to hire up, particularly in sales and marketing. However, if I look at the quota carrier numbers throughout the year, they're relatively flat, and I was just wondering if you could just address the hiring environment and what you're seeing there and why the delay?
Eddie Capel: Yeah. The delays is making sure that we hire the right talent, frankly. We've got open racks [ph] that we're actively recruiting for. In marketing, largely focused on driving awareness across our new solutions and, to some extent, in new geographies. And then, on the sales side and the quota-carrying side, what we’re specifically looking for there is some folks with some real deep domain in the areas that are little more emerging for us. We've got, frankly, terrific coverage in our core markets – WMS, TMS, inventory, omni and so forth – but could use some bolstering in the areas that, as I say, a little newer for us. But we're working on it. Working on it hard, as you know, when the tenure in our sales organization is terrific. So, we don't spin through these guys quickly and we make sure that we hire the best folks available for sure.
Eddie Capel: Okay, great. And then, with respect to the sales force, besides just adding capacity, maybe you could just speak a little bit about some of the changes you're putting forward in the sales organization, principally, as you focus more and more on signing new customers?
Eddie Capel: Yeah. Look, at the end of the day, it's focusing on the areas that are particularly incremental for us. So, whether that would be new geographies, new verticals that we're focused on or making sure we've got the right talent to be able to deliver value from the new innovation and the new products that we're releasing. And that's really where the focus is from a sales org perspective.
Mark Schappel: Okay, great. And then, one final question. In your prepared remarks, you called out a customer that is using your new machine learning, order streaming solution. I was wondering if you could just give us some additional details and how that particular customer is using your new machine learning capabilities?
Eddie Capel: Yeah. Really, it's all about getting much better and much faster throughput through the distribution center from a fulfillment perspective. So, we are seeing productivity and fulfillment increases way high into the double digits, frankly. And then, those click-to-ship ratios coming down in the 30% to 40% range. So, really, quite dramatic – well, increases and decreases as the case maybe. And, hopefully, maybe you'll be able to make it to our customer conference in May because we'll be certainly providing detailed case studies at that event.
Mark Schappel: Great, thank you.
Eddie Capel: My pleasure, Mark. Thank you.
Operator: Thank you. [Operator Instructions]. 
Eddie Capel: Good. Sounds like we've wrapped up on the Q&A, Howard. So, thank you very much to everybody for joining the call. As always, we appreciate the support. Appreciate your time on the call. And we look forward to talking to you in about 90 days, reporting out on our Q1 2019. Thanks, everybody, and good evening.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone, have a wonderful day.